Operator: We're about to begin. Welcome to the Royal Dutch Shell 2017 Q3 announcement. There will be a presentation followed by a Q&A session. Today's conference is being recorded. I would like to introduce Ms. Jessica Uhl. Please go ahead.
Jessica Uhl - Royal Dutch Shell Plc: Ladies and gentlemen, welcome to the Shell third quarter 2017 results call. Before we start, let me highlight the disclaimer statement. The third quarter 2017 was another strong quarter for Shell. Our Q3 2017 CCS earnings, excluding identified items, were $4.1 billion. Cash flow from operations in the quarter was $7.6 billion and, excluding working capital movements, this was $10 billion. Our free cash flow for the quarter was $3.7 billion at an average Brent price for the quarter of around $52 per barrel and, for the fifth consecutive quarter, free cash flow more than covered the cash dividend paid. Our results today show that we are successfully pulling on powerful financial levers that strengthen the balance sheet, as we continue to reshape Shell's portfolio and transform the company. This competitive performance is further evidence of Shell's growing momentum and strengthens our firm belief that our strategy is working. I would like to share some of Shell's portfolio highlights in the third quarter, which reflect important advances across our Upstream, Downstream and Integrated Gas portfolios. Production has started at Gbaran-Ubie Phase 2, a key project in Nigeria's Niger Delta. Phase 2 follows the success of the first phase of the Gbaran-Ubie integrated oil and gas development. Peak production is expected in 2019, at around 175,000 barrels of oil equivalent per day, of which the Shell share is 30%. It's also good news for Nigeria as gas from Gbaran-Ubie Phase 2 will strengthen supply to the domestic market and maintain supply to the export market through NLNG. This start-up is a positive step for Shell's global gas business, as additional volumes to existing plants like NLNG continue to strengthen the resilience and competitiveness of our supply portfolio. As part of our retail growth plans, we opened our first service station in Mexico, and now we've opened a further 10 sites, with more sites due over the next few months. Our retail offering is providing Mexico's motorists with high-quality Shell fuels and retail services. As the fifth-largest consumer of gasoline in the world, Mexico is an important and growing market and, over the next 10 years, if market conditions continue to develop at their current rates, Shell retail plans to invest around $1 billion in Mexico. These investments will be channeled into expanding and improving the retail network, improving the fuel logistics infrastructure and developing partnerships to deliver world-class products and services to consumers and businesses in Mexico. This is a major milestone for Shell and shows our ongoing commitment to Mexico. In July, Shell's floating LNG facility arrived at its location, the Prelude field in Western Australia. Once in operation, the project will deliver LNG to our customers around the world. And in August, the Appomattox project reached another key milestone with the sail-away of the hull from South Korea to the yard in Ingleside, Texas, where it arrived in early October, and where construction of the project's production platform will be completed. The hull will form the base of Shell's largest floating platform in the Gulf of Mexico. This is an important milestone for a key project, which has the potential to boost production in the Gulf of Mexico by an estimated 175,000 barrels of oil equivalent per day at its peak, of which the Shell share is 79%. Project delivery is central to our competitiveness in deepwater. Not on this slide, and of a different scale compared to what I just talked about, I would also like to highlight that in October Shell signed an agreement to buy NewMotion, one of Europe's largest electric vehicle charging providers. This move will allow Shell to provide customers the flexibility to charge their electric vehicles at home, work and on-the-go. When you add this customer offer to our current rollout of fast charging points on Shell forecourts, we believe we are developing the full suite of charge solutions required to support the future of electric vehicles. Let me move to the macro environment in the quarter. Compared with Q3 2016, we've seen a strengthening of oil and gas prices. Brent was some 14% higher than year-ago levels, our realized gas prices were some 20% higher than year-ago levels; and on the Downstream side, refining margins were significantly higher than a year ago, in all regions, driven mainly by supply disruption; and in Chemicals, industry cracker margins were impacted by higher feedstock costs, partially offset by the impact of supply tightness in Asia and Europe. In summary, excluding identified items, Shell's CCS earnings were $4.1 billion, a more than 40% increase in earnings per share from the third quarter of 2016. On a Q3-to-Q3 basis, we saw higher earnings in all business segments, driven by higher oil and gas prices and stronger refining and chemicals industry conditions, which all contributed significantly to the higher earnings in Q3 2017. I will illustrate later in this presentation how production growth and increases in LNG liquefaction volumes have leveraged the positive impact of these favorable market conditions. Return on average capital employed was 4.6%, excluding identified items, up from 2.8% in Q3 2016, and cash flow from operations was some $7.6 billion, or $10 billion excluding working capital movements. Our dividends distributed in the third quarter of 2017 were $4 billion, of which $900 million were settled under the scrip program. Dividends per share were $0.47, to be compared with CCS earnings per share of $0.50. In this quarter, we sustained the improved cash flow momentum, driven by a focus on the four levers: divestments; reduction in capital investment; reduction in operating costs and delivery of new projects throughout our integrated portfolio. On a four-quarter rolling basis, cash flow from operations, excluding working capital movements, was around $40 billion. Let's now look at the drivers of this performance. Starting with production. Compared with the third quarter 2016, new field start-ups and the continuing ramp-up of existing fields, in particular the FPSOs in Brazil, Kashagan in Kazakhstan, Stones in the Gulf of Mexico and Gorgon in Australia contributed more than 340 thousand barrels of oil equivalent a day to production. The delivery of growth projects is more than offsetting the impact of field declines and divestments. Total LNG liquefaction volumes increased by 10% compared with Q3 2016. This was mainly driven by Gorgon where three trains are online compared with one train in the same quarter last year. Moving from volumes to other drivers of our results. Oil and gas prices and Downstream margins were the main drivers of higher earnings this quarter, for a total of around $2 billion when compared with Q3 2016. Higher DD&A, particularly from Brazil, as projects come on-stream. An important point to make this quarter is that the Motiva transaction, completed earlier this year, resulted in the full consolidation of the Norco and Convent refineries, which has added to our earnings in Q3, but also led to increased operating expenses and depreciation compared with the same quarter a year ago. Talking about earnings in a bit more detail, let me highlight the contribution of the Chemicals business. Some of you attended our Chemicals Investor Briefing a few weeks ago and hopefully gained a better appreciation of the strength and potential of this business. In Chemicals, Shell's delivered solid performance over the last five years, including a record quarter in Q1 2017 and $650 million in earnings, excluding identified items, in Q3 2017. Return on average capital employed over the last five years was on average around 15%, excluding identified items, and reached 19% in Q3 2017. This performance has been delivered across a range of crude and gas prices and demonstrates the robustness of the portfolio at a lower oil price. What are the main contributors to these earnings? First, a more concentrated portfolio, from more than 130 sites at the end of the 1990s to 15 currently. Then, a strategy of balancing types of feedstock and focusing on advantaged feedstock, and better operational performance. Higher capital investment levels are expected in Chemicals as a growth priority, which is underpinned by the fact that we have taken three significant FIDs over the past two years. Let me highlight our current growth path on Chemicals. With a competitive edge in chemical feedstocks underpinned by a strong product portfolio and proprietary Shell technology, the Chemicals business is entering a new period of growth. For example, on the Gulf Coast in the USA, we are expanding our chemical footprint at the manufacturing site in Geismar, Louisiana, making the site the largest Alpha Olefins producer in the world. In China, Shell and CNOOC took the final investment decision in the first quarter of 2016 to expand the existing petrochemical complex in Nanhai, the most competitive cracker in China. In 2016, we announced the final investment decision for our petrochemicals project in Pennsylvania in the U.S. This site will use ethane from the lowest-cost shale gas basin in North America to produce polyethylene at world-scale. It will be the most cost-competitive polyethylene producer in the U.S. The location is also ideal because 70% of the North American polyethylene market is within a radius of 700 miles. We have a clear strategy, a competitive and differentiated portfolio, which we are expanding and reshaping to increase margins, with focus on OpEx and operational performance as key measures of success. This drives our aspiration for this business, where we look to contribute $3.5 billion to $4 billion of earnings annually by the mid-2020s. Let me move to our cash position. On a four-quarter rolling basis, we've generated some $27 billion of free cash flow, including around $11 billion of cash proceeds from divestments. In Q3 2017, for the fifth consecutive quarter, free cash flow more than covered cash dividend paid, at $52 per barrel. Our divestment program continues to make good progress on both raising cash and reshaping the company. During the quarter, the sale of the 50% share in SADAF, the petrochemicals joint venture with Saudi Aramco, for $820 million was completed. We announced the completion of our North Sea UK assets and the Gabon divestments this week. These two deals combined will generate additional cash proceeds of some $2.5 billion in Q4. To-date, the company has completed $20 billion of divestments and has more than $7 billion in announced or in-progress divestments, on track to meet the target of $30 billion of divestments between 2016 and 2018. Compared with Q3 2016, we've reduced our net debt by around $10 billion to a level of $68 billion at the end of Q3 2017, or 25.4% of gearing. During Q3 2017, S&P raised their long-term rating on Shell to A+ from A with a positive outlook. Dividends declared over the last 12 months were $15.5 billion. Shell's financial framework is a key element of our overall strategy. There is no change to the priorities for cash flow: reducing debt; paying dividends and turning off the scrip, followed by a balance of capital investment and share buybacks. We continue to drive our four performance levers to manage the financial framework: divestments; CapEx; OpEx and new projects. These levers are adding significantly to cash flow. We are demonstrating good delivery against these levers and I want to further strengthen the momentum, with a strong focus on performance management, simplicity and costs. Fundamentally, this is an important opportunity to continue to improve Shell's competitive performance, irrespective of oil prices. This is about transforming the company for the future, more value and bottom-line focused and nimbler to drive change and improvement across all businesses. Let me close out. Our results today show that we are successfully pulling on powerful financial levers that strengthen the balance sheet. We have delivered $40 billion of cash flow from operations, excluding working capital, over the last 12 months and over the same period, Shell's free cash flow was $27 billion, or $16 billion, excluding the cash proceeds from divestments, at average Brent oil prices of $51 per barrel. We are improving our returns and delivering a better financial performance. This competitive performance is further evidence of Shell's growing momentum, and strengthens our firm belief that our strategy is working. With that, let's go for your questions please. Please could we have just one or two each, so that everyone has the opportunity to ask a question. Thank you.
Operator: Thank you. And we'll now take our first question from Oswald Clint with Bernstein.
Oswald Clint - Sanford C. Bernstein Ltd.: Jessica, good afternoon, and thank you afternoon. Thank you. I wanted to ask about the gearing, flat sequentially this quarter after that strong downward trend over the last 9 or 12 months. Anything in that result which concerns you about the continued kind of balance sheet deleveraging and getting closer to the 20% level and actually any updated thoughts on when that number might be possible? That's my first question. Secondly just on performance management and your discussion on Chemicals, it looks like refinery and chemical plant availability both took a little back step in the third quarter. I know there were some fires at some of the sites, but the question is, I mean, do you think Shell will be able to get up over the 90% uptime levels across refining and chemicals or should we still be thinking about the high 80% levels for both those parts of the business? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Great. Thank you, Oswald. So, in terms of the gearing outcome for the quarter, it's really – it's circumstance driven that reflects the somewhat softer cash coming from divestments for the quarter relative to prior quarters. You'll see that pick up in the fourth quarter. Clearly with the UK closing yesterday, that brings a few more billion dollars into the bank and that will support, again, further deleveraging going into 2018. So, no concern about the direction of travel. It's really the circumstance of the quarter in terms of some of the cash proceeds. In addition to that, we had a reset of the value of the debt associated with the appreciation of the euro. So, some of our debt is marked and is impacted by changes in FX rates that had a negative impact in the quarter of some billion dollars and that also contributed to the outcome. But we're absolutely on the trajectory to go towards the 20% gearing going through 2018 and expect those numbers to continue to drop during the next 12 months. In terms of the performance of our manufacturing and chemical sites, we've had a great run up until Q3. So, over the prior three quarters, we were above 90% at all the sites. So I have a lot of confidence in our ability to operate these sites and to bring our availability up above 90%. We had a couple – well, first of all, we should point out Harvey had an impact, a material impact at our Deer Park site and that certainly impacted availability for the quarter. But, as you mentioned, we also had a couple other things going on at the outsets. They were relatively one-off in nature. So I wouldn't say it's pointing towards any fundamental operational issues or concerns, but equipment – some minor equipment that failed that was not expected to fail. So, more kind of equipment issues rather than operational capabilities. So, again, operational excellence has been a focus for our Downstream business. You've seen that come through in the prior quarters and we would expect it to start trending back above 90% going forward.
Oswald Clint - Sanford C. Bernstein Ltd.: Thank you very much.
Jessica Uhl - Royal Dutch Shell Plc: Thank you.
Operator: And we'll now take our next question from Theepan Jothilingam with Exane BNP.
Theepan Jothilingam - Exane BNP Paribas: Yeah. Hi, Jessica. It's Theepan here. I had just a quick question in terms of the growth projects. I think you indicated that contribution from growth projects this year could be up to $5 billion at $50 oil. So I was just wondering how much of that contribution has now accrued in the first nine months of this year? And then, just secondly, I was wondering in terms of future growth projects and final investment decisions, can you perhaps give us an update in terms of where you see Vito in the Gulf of Mexico in the pipeline? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Great. Theepan, thank you for your questions. So, on the growth piece, indeed, what we've shared before is between 2014 and 2018, we have a number of projects coming on-stream that should contribute some $10 billion in incremental CFFO in that period and 1 million barrels of oil equivalent a day in production. We're about halfway through that. So I'd say we're about $5 billion – $5 billion to $7 billion through that program. It remains on track. We've had very solid delivery of those projects through the last couple of years. Going into 2018, we're looking to achieve that ambition in terms of the incremental cash flow reaching $10 billion over that period of time. So that's all moving smoothly. In general, we're very comfortable with our growth program over the next couple of years. I referenced a couple of things that are coming on-stream between Prelude and Appomattox. The growth we're seeing in our shales business as well, so solid growth coming through for the next couple of years. Vito, indeed, is one of the growth options that we have in the future. It is one of many. There's a fierce competition for capital at the moment in the organization. We're looking for the most competitive, most resilient barrels in the portfolio. We believe Vito is a strong project and will be one of the options that we'll be looking at. But it's one of many and, as I said before, we have a strong competition for capital in the portfolio at the moment.
Theepan Jothilingam - Exane BNP Paribas: Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Thank you.
Operator: And we'll now take our next question from Lydia Rainforth with Barclays.
Lydia Rainforth - Barclays Capital Securities Ltd.: Thanks. And hi, Jessica. Two questions, if I could. The first one just on the cost base and you talked about driving competitive performance and (21:23) for Shell. Can we expect costs for next year to be actually lower than they are this year even with a slightly higher oil price? And then the second one was just a point of clarification. On the press release this morning of the interim dividend timetable for next year, it did have reference share price announcement. Can I just take that that is a practical consideration, that that isn't an indication that you're committed to the scrip dividend for all of next year? Thanks.
Jessica Uhl - Royal Dutch Shell Plc: You've (21:56) been signaled with respect to the scrip that was just normal disclosure, to be clear on that. On the cost question, so we're very pleased with our cost trajectory. What you see in the results $9.5 billion of OpEx, on an underlying basis of $9.1 billion, that brings four-quarter performance of our operational expense at some $38 billion, so well below the less than $39 billion we had indicated. So, again, the cost reduction trajectory continues. We are going to continue to pull that lever. I think there's still more for us to do in this space, but we're also trying to grow at the same time, so I mentioned Mexico earlier in the call, growth requires investment, it also translates into OpEx. We've got new projects coming on-stream in deepwater and in unconventionals and in Integrated Gas. Those also contribute to operational expense. Things like the Motiva transaction, the portfolio changes also having an impact. What I will say is there is a commitment to continue to improve the performance of our company to reduce the cost framework or cost structure of our company. I expect us to continue to drive that, but the total number will also be a function of our growth ambitions and some of the characteristics of the company. Thank you.
Lydia Rainforth - Barclays Capital Securities Ltd.: Thanks very much.
Operator: We will now take our next question from Christopher Kuplent with Bank of America.
Christopher Kuplent - Bank of America Merrill Lynch: Thank you very much. Hi, Jessica. I noticed you mentioned the S&P upgrade in your introduction, just too many questions around that. Were you confident that you would receive that upgrade? And to what extent are you surprised and pleased by the fact that you are still on a positive outlook, is another notch upgrade which I suppose that positive outlook suggests important to you? Maybe you can put that into context of your cash flow priorities. Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Thank you, Christopher. I am pleased that the credit rating agencies are recognizing and seeing the performance of the company. But what I'd say is we're focusing on the performance of the company and the underlying drivers that cause these outcomes. Indeed, we've transformed the cash flow generation of the company over the last couple of years. The cash we're generating is significantly more today at a $50 price. As I mentioned, $40 billion in CFFO over the last 12 months in a $51 environment and that's coming through and that's contributing to the strength of our financial framework. At the same time, we've paid down debt of some $10 billion between Q3 2016 and Q3 2017, so we're demonstrating a commitment to our financial framework. We're demonstrating a commitment to the priorities that we've laid out over the last 12 months. Our strategy is working. We're generating the cash to support that financial framework and I think getting the financial framework and the company back in shape for the future. I think the credit rating outcomes are an outcome of fundamentally good performance and we're doing all we can to continue that trajectory.
Christopher Kuplent - Bank of America Merrill Lynch: Can I just come back and ask you to perhaps give us a little bit of a ranking or a priority list in terms of that notch upgrade? Where that ranks for you?
Jessica Uhl - Royal Dutch Shell Plc: What we're focused on is the underlying performance and we're running the company to maximize value, maximize cash generation. We've talked about all the levers we're pulling. I would expect we'll continue to pull those levers. We will continue to generate more cash. We will pay down our debt and a natural outcome of that would be credit rating changes in the future. But that's not what we're running the company for. We're running the company for maximizing value and underlying performance.
Christopher Kuplent - Bank of America Merrill Lynch: Great. Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Thank you.
Operator: And we'll now take our next question from Irene Himona with SG.
Irene Himona - Société Générale SA (UK): Thank you. Good afternoon, Jessica. Two Q3-focused questions, if I may. First of all, Integrated Gas and I know the depreciation charge increased about 40% sequentially and also year-on-year. I wonder if that level is going to be normal going forward as Gorgon, for example, ramps up or whether there was any impairment this quarter to justify the increase. And then secondly, your Q3 realized gas price in Europe actually declined sequentially about 8%, which was a bit surprising given the fact that NBP prices actually rose 10%. So I wonder what drives that lower gas realization. Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Thank you, Irene. So, on the first point, an opportunity just to highlight the strength of the performance of our Integrated Gas business in Q3. Very strong earnings coming through underpinned by increases in production, liquefaction sales and liquefaction volumes all coming through. Some of that growth does contribute to the higher DD&A as you've referenced. There are a couple unusual things, though, in the quarter. We had a impairment of just over $100 million related to some non-core technology. That was in the Integrated Gas numbers. We also had a catch-up in some DD&A for one of our assets and that's also coming through. So there were some unusual things that did touch DD&A in the quarter and that frankly probably undersold IG's performance for the quarter to some extent. On the second question, I think it's probably best to direct you to IR. There is some specifics in that that's not probably easy to step through in the call. So I will hand that over to IR to respond to you on. Next question, please.
Operator: And we'll take our next question from Thomas Adolff with Credit Suisse.
Thomas Adolff - Credit Suisse Securities (Europe) Ltd.: Hi, Jessica. Two questions for me as well, please. Firstly, Shell has come far. I mean, you've done the BG deal in 2015, you started the cultural evolution in 2014 and you're continuing to reshape the portfolio for disposals, et cetera. And then said on a 2Q call that you are down 60% past where you want to be ultimately. So, in this context, what other portfolio shaping moves are still necessary to hit the sweet spot or value creation and risk for the company? Secondly, going into Upstream, just looking at one of your charts and specific to the declines, your portfolio decline rate looks quite attractive. So if we think about, let's say, the next five years and we think about EOR tieback opportunities, et cetera, basically things which are a lot harder for us to model because they are smaller in nature, but combined for Shell should be quite relevant and perhaps often forgotten by the markets. So I wondered what the potential resource ups the resource to be developed from these opportunities in the next five years and how we should think about portfolio decline rate over time. Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Great. Thank you. So, starting with your first question in terms of – I think what you're asking, what are the levers that we need to pull to maximize value for the company and achieve the financial outcomes that we expect from the company. I think, indeed, we've made a huge amount of progress over the last couple of years. You're seeing that come through in the numbers. I've talked about the various levers on the cost side, underlying operational expense coming down to around $38 billion on a rolling four-quarter basis. Our capital efficiency is a fundamentally different place than it was a couple of years ago. A lot of capital coming out us delivering the same or more value for less capital than in the past. And that's really across the portfolio. You've mentioned portfolio shaping move, I don't think there's a lot of portfolio shaping moves that we need to do necessarily in the medium term. That's not to say if there was an opportunity, we wouldn't look at it or there's something that could surface that would be interesting for us to consider. But I think what we're focusing on is really to focus on the fundamentals of the company and focus on operational excellence, capital efficiency, cost efficiency. We've done a lot in that space. We think there's still some more running room for us to get where we want to be across the business. There's a lot of strength in our portfolio. We've got Chemicals generating ROACE of 19% in the quarter, Downstream at some 16%. We, of course, want to maximize that to the extent possible. But I think it's really about us focusing on the fundamentals of the company and continuing to pull the four levers that I've mentioned before. On the decline rate, I think it's a great point to raise. We've been focusing a lot on operational excellence in the Upstream business. Those results are coming through. You can see in some places in our portfolio where a decline rate might be, say, 12%. With intervention WRFM techniques, we're able to bring that sometimes to 4%, 5%. So, indeed, that has been a focus at some of the best kind of highest margin barrels we can go after. We think it is important for us and I think we will see – continue to focus on that and that will bring more value, more barrels into the organization. That's both in our Upstream business and in our Integrated Gas business. Thank you.
Thomas Adolff - Credit Suisse Securities (Europe) Ltd.: Thank you.
Operator: And we'll now take our next question from Michele Della Vigna with Goldman Sachs.
Michele Della Vigna - Goldman Sachs International: Hi, Jessica. It's Michele. Thank you very much for the presentation. As you mentioned, Shell has a very healthy pipeline here of new project up for consideration, a lot of which have benefited tremendously from the cost inflation, particularly in offshore that we've seen in the last few years. I was wondering if you could elaborate a bit more into what you find most attractive here in terms of positioning on the cost curve and in terms of future returns between some of your deepwater opportunities, the new LNG project or potentially an acceleration of activity in your Permian acreage. And then in this context, I was wondering if you could comment on the potential decision to exit Majnoon in Iraq and what you would need to see change to decide to stay in that country and continue to invest in the specific project? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Thank you. Indeed, I think we have a lot of growth opportunities across the portfolio. And I always want to remind people of the strength of our Downstream business, our retail franchise, our Chemicals business, which I touched a bit on. We're looking at growth opportunities in those businesses as well and those can be relatively low capital, high return, short cash cycle opportunities, particularly in the retail business, and that's part of why we touched on the Mexico entry. It's important to keep in mind where growth will be coming from is really across the portfolio. If you focus on Upstream and IG, we've got good LNG options in our portfolio, we've got good deepwater options in our portfolio and we've got good shales opportunities in our portfolio. What we're looking for in the oil and gas side is the most competitive, highest return, marginal barrel or marginal ton of LNG, if you will. We've done a lot to, as I say, really reshape the potential of a number of projects, Vita is one of them that was earlier referenced. Upstream, specifically oil and gas, we're looking at breakeven prices below $50, and if it's a tieback, brownfield opportunity, it can be below $40. And, again, we've got a number of options in the space. Similarly, in the LNG business, trying to look for the most competitive, not just within our own portfolio, but industry-wide. That's really what's driving our decision-making, how do we drive for the most competitive, highest return decisions. We've got a number of options and, for us, it's really making sure we've maximized the scrutiny and optimized the projects to the most possible, if you will, and make the decisions based on an evaluation across the portfolio. On Majnoon, first of all, I want to say that we remain committed to Iraq. We have the Basrah Gas Company position that we're very pleased with. It's an important part of our strategy. We see more options with BGC as well as other potential options within the country. So it's not a country decision; it's a very much a project decision. This project didn't necessarily fit in terms of our strategy in the near term. We are working very cooperatively with the governments and are making that a friendly exit from that project. The timing hasn't been set yet but, again, done on very friendly terms. We remain committed to Iraq and are very pleased with our Basrah Gas Company position. Thank you.
Operator: And we'll now take our next question from Jon Rigby with UBS.
Jon Rigby - UBS Ltd.: Hi. Thank you for taking the questions. First is just on Integrated Gas. I noticed the – I mean, this may be a one-time quarter effect, but CapEx ticking up, not ticking down, and yet Gorgon's rolled off. I just wondered whether 3Q maybe had some last spending on Prelude that bumped it up or are you starting to spend a bit of CapEx on some pre-sanctioned projects within that portfolio. So just on Integrated Gas CapEx. The second is, is I think I heard you say that your expectation was that net debt or gearing would trend towards 20% over the course of 2018, but I'm fully aware that you've identified 20% as a – or Shell has as a sort of key threshold around returning to a scrip. But if I look at your cash flows and your asset sales, Shell's hanging onto a number of equity stake still. Working capital has actually started to build quite significantly over the last 12 months and CapEx is on trend for $25 billion, the low end. And it looks also like the cash flow statement has some – there maybe through choice some sort of voluntary payments that come through the provisioning line that you'll be making as well. So I just wanted to test you on the commitment to get that balance sheet gearing down as quickly as possible. It doesn't look like you're going after it in as aggressive a fashion as you might be able to. Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Great. Thank you, Jon. On the first question, in Integrated Gas, there's really nothing particularly extraordinary to point out, ongoing investment in the business. QGC, there is ongoing well commitments that we have and drilling activity that we do as part of normal course of business. There are things like Gorgon, there are things like Prelude. So I wouldn't – there's nothing for me to kind of highlight in terms of anything unusual happening from a capital profile perspective in the Integrated Gas business. On net debt, indeed, so we're working towards the 20%. I don't want to signal that that's necessarily within the next 12 months. What I'm saying is that the trend will continue going through 2018. We're very much committed to our cash priorities, as I've laid them out. And to our financial framework, we're continuing to work through that, as I said, the $10 billion coming off between 2016 and 2017 on the debt and we'll continue to pay down the debt into 2018. We do have equity stakes in various companies. They're not strategic positions. We will sell them, but we'll sell them for value, and it's really just a matter of when and getting the right timing in terms of exiting those positions. That certainly will help in terms of generating cash and supporting the reduction in net debt. If you were to take those positions into consideration today, our gearing would come to some 23.7%. So that's important to keep in mind. The other things you mentioned, working capital, that's really a story about the current price environment. There's nothing else more really to say on that front as prices have trended up in Q3 that affects our inventory valuation. We also sold off some inventory that became receivables as well. That's normal course of business. So I don't think there's anything fundamentally changing or being signaled in our financials this quarter. The commitment is strong and remains and I think you'll see as we go through 2018 that we'll continue to make some steps (39:47) to reduce net debt and move towards the 20%. Thank you.
Operator: And we'll now take our next question from Lucas Herrmann with Deutsche Bank.
Lucas Herrmann - Deutsche Bank AG: Yeah. Good afternoon, Jessica. Thanks very much for your time. Just to start a point of clarity. The retort to the question on Integrated Gas. You mentioned some exceptional items just to – well, let's use the term exceptional items, just to make clear that they weren't included in the identified items line of negative $65 million. Secondly, I completely concur with you in terms of the progress that Shell appears to be making and the commentary around ratings agencies and how they perceive you is also highly encouraging. But I struggle to understand that we're issuing $1 billion of paper per quarter to conceptually growing 6% yield ties in maximizing value for shareholders. And thirdly, just if you could give us some greater granularity around the provision line in the cash flow statement and quite why that's running at $1 billion this quarter or quite what it comprises would be helpful and to what extent items that are ongoing or may fall out. Thanks very much.
Jessica Uhl - Royal Dutch Shell Plc: Great. Thank you, Lucas. So, a few questions there. Indeed, some of the items I referenced would have been in IG. So, I think you were asking about unusuals versus identified, clean, et cetera. So, the question was originally asked around DD&A, which is a different question than what's in cleaner or in identified. So, I was explaining what was happening in DD&A. Some of that was identified, some of it wasn't necessarily identified. So just to make that distinction, if that's not sufficiently clear, you can follow up with IR. We are fully committed to maximizing shareholder returns from this company and doing everything we can to get the fundamentals right, have the right strategy, execute that strategy and generate the cash necessary to have industry-leading return on capital employed and industry-leading shareholder distributions over time and ultimately number one total shareholder return. There's a number of levers we're pulling to get to that place. Our commitment is to get our leverage and our gearing down to 20%. We've maintained our commitment through the dividend via the scrip program. As part of that, when we get to a line of sight of 20%, we will take the scrip off and they will move into a position of balancing capital investment growth and share buybacks. We're committed to the share buyback program and to offsetting the dilution of the scrip program that we've seen over the last couple of years. Absolutely agree that we need to maximize cash to our shareholders and we're doing – I think we're pulling all the levers to make that possible and to be in a much better position in terms of increasing distribution to the shareholders over the next couple of years. In terms of the provision question, indeed, it's a good opportunity for me to highlight, we had a accelerated payment for our pensions in the U.S. of some $500 million in the quarter. That was an unusual payment, if you will. We accelerated that from 2018 into 2017 for value reasons and that's coming through the provisions and somewhat understating the cash flow for the quarter as well. Thank you.
Operator: And we'll now take our next question from Martijn Rats with Morgan Stanley.
Martijn Rats - Morgan Stanley & Co. International Plc: Yeah. Good afternoon. I wanted to ask you two. First of all, when it comes to Iraq, listening to you just now, it seems that you're saying that the exit from Majnoon doesn't preclude you from progressing with the Basrah Gas Project. And I just wanted to check that I (44:02) sort of that that is the case and that that's what you were trying to indicate. The second thing I wanted to ask you relates to LNG. On the Exxon call the company was talking about an oversupplied market now until the mid-2020s and also during the quarter, they can see that a price cut on a renegotiation of a long-term contract, which is somewhat unusual. And sort of taking that into account, I wanted to ask you if your own views on the outlook for LNG are starting to change.
Jessica Uhl - Royal Dutch Shell Plc: Right. Thank you, Martijn. You're correct in terms of how you understood what I was saying about Iraq. We are very pleased with our position with Basrah Gas Company. We remain committed to the country and we believe there's future opportunity with that business and potentially other projects as well. So it's very distinct from the Majnoon project itself, which we're backing out of. But, again, we remain committed to the country, Basrah Gas Company and potentially other opportunities as well. On LNG, we believe the fundamentals of the LNG business remain strong. We believe gas will be the fastest growing hydrocarbon between 2020 and 2030 and we think that LNG will be the fastest growing gas molecule during that period of time. We believe it's fundamental to the energy transition. It's fundamental to increasing energy supply that's very much needed and will continue to be needed as populations grow and quality of life increases across the planet. So we think the fundamentals are very strong. Indeed, a lot of supply has come on in the last year, will continue to come on in the next one to two years. So far the market has absorbed that supply very well. In fact, we saw spot prices trending up in the quarter. So our experience has been a very strong market and we're achieving good spot prices this quarter and in prior quarters and feeling pretty confident in terms of the business that we have and not seen kind of negative headwinds, if you will. We recognize that that new capacity needs to come on-stream, needs to be absorbed in the next couple of years. Looking into the 2020s, there hasn't been a number of large FIDs. Given what we expect to happen with the LNG market, we think there should be some tightening in the early 2020s. The exact date, I can't say, but again, the fundamentals I think are very strong and we remain confident in that business and our strategy with that business.
Martijn Rats - Morgan Stanley & Co. International Plc: All right. Thank you.
Operator: And we'll now take our next question from Jason Gammel with Jefferies.
Jason Gammel - Jefferies International Ltd.: Thanks very much. Two for me as well, please. The first one is that in the past, Jessica, you've given us an update on the expected proceeds from divestiture transactions that had not yet been announced but were in a reasonably advanced state of negotiations. I was hoping we get an update on that. The second question, coming back to the scrip dividend, do you actually need to print a balance sheet that has a net debt to cap ratio of 20%? Or you mentioned having line of sight. If you have a situation where you have the equity positions, you have transactions that are in the pipeline and you can see reaching the 20% number, would that be sufficient for you to whip (47:34) the scrip? And, I guess, to put that into context of one of your competitors who has already made the commitment to offset the dilution from the scrip dividend despite having much more leverage on the balance sheet than you do.
Jessica Uhl - Royal Dutch Shell Plc: Thank you, Jason. So, your first question related to where we are in the divestment program. So, overall, very pleased with where we are. We committed to $30 billion between 2016 and 2018. We're at $20 billion, if you include the projects that closed yesterday. We have another $5 billion to $7 billion that's either been announced or are in very advanced progress. So we're very confident in our ability to get to the $30 billion by the end of 2018. On the scrip, key piece here is today is really to talk about the Q3 results and want to focus on just the strength of these results. I'm pretty excited to be presenting them. Hopefully you're sharing the enthusiasm in terms of what this company did in the third quarter. And, again, I want to go back to a point that I've been trying to make in a number of different responses. We're really focusing on the fundamentals and ensuring that we are delivering the strategy and generating the cash to be robust, resilient and competitive in the future and I think that's what you're seeing coming through in the numbers. We've been very clear in terms of what our cash priorities are. It is debt repayment, maintaining the dividend, taking the scrip off and then moving to capital allocation and buybacks and getting that balance right. We think that's the right sequence of events. We want to take the scrip off with confidence with our financial framework where it needs to be. And I think the results that you're seeing today demonstrate a company that is delivering on the strategy and should be in the position for the financial framework to get to where we want to be in the coming years. Thank you.
Operator: And we'll now take our next question from Christyan Malek with JPMorgan.
Christyan F. Malek - JPMorgan Securities Plc: Thank you, Jessica, and good afternoon. Firstly I wanted to come back again to the framework for cash flow priorities on slide 15. I understand the priorities, but to the extent that you deliver on your target for low gearing through the remainder of 2017 and meet your commitment to switch off the scrip in light of this improved line of sight is 20%, is it unreasonable to assume that you are going to (50:03) some of your cash return in 2018 of some form? The second question is with CapEx now at around $15 billion sort of first nine months and so the ramp up to $7 billion seems quite a big step-up in Q4. Can you talk about where you are in capital efficiency and whether the $22 billion, $23 billion target remains valid in light of what appears to be better performance on cost. And linked to that, I think you mentioned below $50 a barrel, it's prevailing breakeven in Upstream. How much lower do you think you can take breakevens in Upstream? Do you actually have an internal target you're looking to achieve over time? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Great. Thank you, Christyan. I appreciate the interest in the scrip. I think I've covered that a number of times. In terms of today is about really focusing on the very strong performance in the third quarter and being clear we are consistent in our messaging and our commitment to our financial framework and our cash priorities. In terms of the trends on capital, indeed, in the fourth quarter, we have some trending up relative to prior quarters. That's just the nature of the projects and how capital is flowing. There is also probably a little bit in there, maybe $1 billion or so that might relate to some NBD (51:17) activity that we're doing that may land in the quarter or not, so that's why we're not being kind of more prescriptive, but just will be as it will be, but we won't see capital above $25 billion for the year. What's clear is that we continue to drive capital efficiency. What we're getting for our $25 billion is more than what we would have got for $25 billion one, two, three years ago. That remains a priority for us. And I think these capital levels are supporting the growth that you're seeing in our numbers now and support the growth that I spoke to earlier in terms of bringing on the projects over 2018 and delivering the incremental $10 billion of cash flow between 2014 and 2018. All of those things tie together up to $25 billion for the year, strong capital efficiency and that flowing through our results.
Operator: And we'll now take our next question from Alastair Syme with Citi.
Alastair R. Syme - Citigroup Global Markets Ltd.: Hi. Thanks. Hi, Jessica. Third quarter has traditionally been the quarter that Royal Dutch has looked to incorporate any revisions in long-term planning assumptions. Can I just confirm that's still the way you look at things and would it be a fair conclusion that the absence of any asset revaluations or major asset revaluations means that there has been no change to long-term oil and gas assumptions? And secondly, you've made a lot of comments through this call around the contribution of growth and also on cost improvements. Can I just ask why neither of these elements show up in slide 10? It looks on that slide as all the gain in year-on-year has been coming from the macro? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Good. Thank you, Alastair. So, in the third quarter, we do our value erosion review process across the group. We're always testing if there is a trigger. So you do an impairment when it's needed. We don't just wait for the third quarter, but we do a more thorough review across the portfolio. We've done that review. You see the impairments that are coming through relatively light, a good chunk of those having to do with relatively non-core activities in the company. So I think overall a good signal. We test across a range of price assumptions in terms of assessing the value. And, again, I think the results demonstrate good capital efficiency, good balance sheet stewardship in terms of the outcomes that we had in the third quarter. But, again, we will continue to test our assets and our portfolio should there be a trigger event. So I don't want to signal that you wouldn't see anything in Q4. We continue to do that as normal course of business. I think your second question related to – I think it was a cost question, if I'm correct, in terms of what's flowing through. I'm sorry, can you just clarify that question, so it was – sorry.
Alastair R. Syme - Citigroup Global Markets Ltd.: Slide (54:28) 10, it just shows – on the waterfall chart, it just shows all the year-on-year gain is coming from prices and margins rather than cost and growth.
Jessica Uhl - Royal Dutch Shell Plc: Okay. The challenge with these kinds of variance analysis is there's lots of ins and outs. So maybe just to tease out a few things that I said earlier, we had some 340,000 barrels of oil equivalent a day of new production coming on-stream in the last year that more than compensated for the divestment program and the decline. So, that would be a good example. On the OpEx side, underlying OpEx is $9.1 billion. Again, that's a reduction from the prior quarter. In fact, we've had 11 quarters of cost reductions on a quarter-on-quarter basis, so the underlying fundamentals of what's going on, on the cost structure are very sound. But, of course, there is growth happening at the same time, which is going to be an offset to some of that underlying performance. And things like our portfolio reshaping, Convent and Norco coming in bring up to $150 million to $200 million of OpEx in, in the quarter. So there are various ins and outs. I would point to some of the fundamentals I spoke on the production growth and the underlying OpEx in terms of the sustained improvement to the company.
Operator: And we'll now take our next question from Biraj Borkhataria with RBC.
Biraj Borkhataria - RBC Capital Markets: Hi. Thanks for taking my questions. I've two, please. The first one is just on cash taxes versus the P&L. Last few quarters, you had a bit of a tailwind on the cash flows from paying lower cash taxes. I was wondering if you could just talk about whether you're expecting that to reverse or normalize going forward. Or any color there would be appreciated. My second question is on the NewMotion acquisition. Can you talk about how that relates to your overall marketing strategy in the Downstream? I would have thought you would want to keep customers either filling up or charging up at your stations so you can take advantage of the non-fuels retail offering. So just wanted to get your thoughts on the rationale for offering the charge away from the forecourt. Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Good. Let me pick up on the NewMotion's question first and then I'll come back to the cash taxes. So, very pleased with that position we've taken. I think it touches on a number of things that we're doing as a company. We've got our new energies business up and running and looking to help drive new business models and be part and to lead the energy transition. We see the world moving towards more electrification. At the same time, we've got a very strong business in North American in power trading. So, we've got an existing power position. We're trying to bring these power offerings together. We also see the trend with electric vehicle participation. We want to provide our customers whatever fuel they would like to have and if it's electrons and if it's V-Power and if it's hydrogen, we want to be there for our customers, and we're looking to bring a portfolio of products to our customers. As I mentioned before, we're bringing electrical vehicle charging already to our forecourt, so that's part of our Downstream strategy. NewMotion will help leverage that and to hopefully expand that. We do want to, as I said, provide the products that our customers want, continue to innovate and can continue to innovate the product offering to our customers. On the cash taxes, indeed, there has been a transition happening in the company. As we've shifted our portfolio, we are moving relative to the past to lower tax jurisdictions. You're seeing that come through. That should continue going forward. So, in the Americas, as we increase our production, the relative tax rates are different than the composition of our portfolio in the past. So I think that is part of the reshaping of the portfolio and the impact has been between that geography and volume mix trending towards relatively lower effective tax rates than we saw in the past. Thank you.
Biraj Borkhataria - RBC Capital Markets: Thank you very much.
Operator: And we'll now take our next question from Brendan Warn with BMO Capital Markets.
Brendan Warn - BMO Capital Markets Ltd.: Yeah. Thanks, Jessica. Most of my primary questions have been asked. But I just wanted to follow up just in terms of your slide 19, the 2017 outlook for earnings sensitivity. We sort of seem to have flat-lined certainly for the last couple years of for every $10 move in Brent, it's about $5 billion of earnings. Can you just talk about moving into next year and following your portfolio rationalization and the startup of what should be higher margin projects, such as Gorgon, for example. Should we expect to see that sort of sensitivity improve to the upside going into 2018?
Jessica Uhl - Royal Dutch Shell Plc: Thank you, Brendan. At this point in time, there's no update. We think this remains the right rule of thumb for the business.
Brendan Warn - BMO Capital Markets Ltd.: Okay. And in terms of follow-up question I'm pretty sure there's probably a capital allocation question you want to talk about in November, but we've had a lot on Downstream and Chemicals and obviously you're proud to talk about Mexico today. Do you see a greater allocation of your capital budget towards Downstream going further or is this just a repositioning story in terms of where we're seeing better ROACE?
Jessica Uhl - Royal Dutch Shell Plc: Indeed, we're seeing growth opportunities in our retail business that we'll pursue. They're relatively low CapEx options, so it's a low CapEx business. We will invest in Downstream to grow in markets where we think there's real opportunity. We see that opportunity in places like Mexico. So, indeed, I think you will see more coming from that business, but it's not a big draw on capital. So, it's not a big capital allocation story tied to that growth. Thank you.
Operator: And we'll now take our next question from Doug Terreson with Evercore ISI.
Doug Terreson - Evercore Group LLC: Good morning, Jessica. During the past year or so, management emphasis has shifted somewhat from attainment of BG synergies to enhanced performance in LNG and then also to free cash flow and growth and returns on capital. And while the latter two factors are pretty well associated with positive shareholder outcomes, they require capital discipline to remain strong, which you guys have demonstrated so far. So while you reiterated the general plan for spending and efficiency today, can you provide more specificity on where you think spending will be for Shell in 2018 or 2019, or should we just wait for the meeting on that? And then second, are there any operating functional or strategic shift that you haven't covered, because you've covered a lot today that on the margin are worth mention?
Jessica Uhl - Royal Dutch Shell Plc: Great. Thank you, Doug. On the capital allocation, the guidance we've provided is we believe the right amount of capital spend to support growth and achieve our strategy is between $25 billion and $30 billion, $25 billion being a soft floor, $30 billion being a hard ceiling. And I think that's what you're seeing happen with our business, lower price environment, somewhat lower at least in the first half of the year and coming down around the $25 billion number. So I think that's still valid. We're continuing to drive capital efficiency and we'll do everything we can to get $25 billion worth of value out of $20 billion going forward, but the $25 billion to $30 billion I think is appropriate for our business and our strategic ambitions. I think in terms of operating shifts, I've touched on a number of things. I think probably – perhaps a few more words on the Downstream business because that tends to be somewhat less focused on on these calls, yet it's a huge driver certainly of our earnings and of our cash flow over the last 12 months, showing the value of our integrated business model and just the strength of that business that we have. Our retail business, very strong, resilient through the cycle. We are achieving differentiated returns in our business because of our value offering, V-Power in our differentiated fuel offering, our non-retail sales offering as well, very resilient. So, we see a business – the business fundamental is very strong. We're investing in Mexico. We'll continue to invest in that business. And I think you'll see further strength coming from that business over time. So just want to make sure that people appreciate what that business is offering, the 16% ROACE in Downstream, the 19% ROACE in Chemicals, the really fundamentally strong performance of that business.
Operator: And we'll now take our next question from Rob West with Redburn Partners.
Rob West - Redburn (Europe) Ltd.: Hi, Jessica, I wanted to go back to your comments on Nigeria from your prepared remarks. Thanks for those. I'm interested because I've been reading through the Petroleum Industry Bill. I'm wondering what that means for you. So I was wondering, could you comment on whether there's anything specific going through in that? Quite substantial legislative package, but as an operator, you really need to see to unlock some further investment and bring it into your framework of attractive returns. I'm thinking specifically about the impact on Bonga South West, but also smaller projects, gas and LNG expansion and interested if you could give us some points as to what you're looking to there.
Jessica Uhl - Royal Dutch Shell Plc: Thank you, Rob, for your question. I first went to Nigeria I believe in 2010 and the PIB was being discussed then. So just – it's been in motion for a number of years and so I think it's somewhat difficult to draw conclusions until it really looks like it's going to get across the finish line. We've been in Nigeria for decades. It's an important country for us. In general, we've been able to move it to a much better place in the last couple of years. We're very pleased with our discussions with the government both in our onshore and our offshore activities. We remain optimistic in terms of growth opportunities in Nigeria and we're continuing to evaluate those. Yes, there are important details that need to be negotiated with the government and with our counterparties. That's somewhat normal course of business. But, overall, we believe that our position in Nigeria is strong and that the position in general has moved to a better place in the last couple of years. Thank you.
Operator: And we'll now take our next question from Anish Kapadia with TPH.
Anish Kapadia - Tudor, Pickering, Holt & Co. International LLP: Hi, Jessica. First question was just thinking about the longer term and how you're going to look to offset production decline or even have some growth in the Upstream and that in the context of really a lack of exploration success that we've seen from Shell and not really much FID-able resource acquired with BG. So, do you have the capacity for cash funded acquisitions over the next year or so in a kind of current $50, $60 oil price environment, if you do remove the scrip? And then just a second question in terms of where kind of market expectations are at. It looks like consensus cash flow for the next year at $55 per barrel is about $43 billion. So it doesn't seem like there's much growth in cash flow for next year. Do you have confidence that you could beat that, given the kind of the growth that you've outlined coming through in both the Upstream and the Downstream? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Great. Thank you, Anish. So, as I've spoken a bit about already, we have a lot of growth coming through at the moment and we see continued growth in the next couple of years. And, again, it's across our portfolio. The acquisition of BG accelerated our strategy, brought a lot of growth opportunity into the company. So, if you look at Brazil in particular between when we announced and where we are today, it's gone up some 100% or more in terms of total production of over 300,000 barrels a day from our Brazil operations. Similarly, we have opportunities in shale. We've been ramping that business up to over 250,000 barrels a day and we see further opportunity over the next couple of years. We've got a lot of very real FID opportunities in our deepwater business, in our Integrated Gas business. So I'm not worried about near-term growth and, therefore, I'm not feeling I need to build up cash for necessarily an acquisition. We're I think in a pretty good position, a pretty privileged position from a portfolio of options that we have across our Upstream business, our IG business as well as our Downstream business, which I spoke of before where we'll generate growth with relatively low capital. Thank you.
Operator: And we'll now take our next question from Jason Kenney with Santander.
Jason Kenney - Banco Santander SA (London Branch): Good afternoon. Thanks, Jessica. So, a short question, a long question and then a request, if I may. The short question is when will Upstream Americas be earnings positive on a quarterly basis? The second question is, have you seen any pressure from either the Netherlands or the UK government questioning your dual listing? And do you have to field questions on anything around Brexit uncertainties and whether there is reason to get rid of the dual listing for simplicity purposes, if nothing else? And then a request, if I can. Now that you've got your feet under the CFO table, can we get improved financial disclosure? I'm really hoping you can say, yes, I will give you quarterly divisional P&L accounts going forward preferably on a reported and adjusted basis. Do you think you could consider that at all? Thanks.
Jessica Uhl - Royal Dutch Shell Plc: Great. Thank you, Jason. So, starting with your first question, first of all, we manage our businesses by business, if you will. So, the kind of UA construct isn't a really real construct for us. We manage our deepwater business, which happens to have operations in the Gulf of Mexico, but as well as Brazil and Nigeria and Malaysia. We manage our unconventional business, which has operations in the U.S., but also Canada and Argentina. So, that construct isn't something – isn't the way we're running the company. We run those themes or those businesses to ensure they're the most competitive in their industry, which I think is the right way of looking at it rather than from a regional perspective. We're driving improvements in the businesses that touch the Americas deepwater, huge improvement from a capital efficiency perspective, from a cost perspective. The same is true for the unconventionals business where I expect to have increasing CFFO and free cash flow over time. And we're starting to see that coming through now and I expect more to come through the medium term from both of those businesses. And, of course, the Americas also includes our Downstream business, so it really – I'm not quite sure if you're including that or not, and our Downstream business in the Americas is very strong. We're not receiving any pressure on the dual listing from the government. That can be a topic of interest. Our dual listing reflects a structure we put in place to allow our UK shareholders to not be subject to dividend withholding tax. That's what drove it. It was a value decision for our UK shareholder base, so it's I think got a solid logic to it. You may have heard there is some discussion within the Netherlands of removing the dividend withholding tax. That hasn't happened yet. But if that were, then we could take a look at the structure, but we'll need to wait for that to actually come to fruition before we move into decision-making in that space. Thank you for your input on the financial disclosure. We do want to be transparent, we do want to provide relevant information to our shareholders, so that we can accurately and provide the most relevant and compelling information for you to understand the strength of our company. And I will take it into consideration going forward. Thank you.
Operator: And we'll now take our next question from Iain Reid with Macquarie.
Iain Reid - Macquarie Capital (Europe) Ltd.: Yeah. Hi, Jessica. It's Iain Reid, Macquarie, here. I'm just going to ask you another question, if you don't mind, on your regional Upstream earnings. Just curious, in the third quarter, where Africa was a very strong number and we haven't seen a strength of that sort of number in your Upstream Africa operations for some time. Is that some sort of Nigerian driven issue? And also in South America, I look at this every quarter, and every quarter it makes a loss in the Upstream. And despite the fact that obviously Brazil is going great guns, is this a kind of depreciation effect you're adding obviously some of the cost of the BG acquisition in there? Thanks.
Jessica Uhl - Royal Dutch Shell Plc: Good. Thank you for the questions. Again, I'll go back to how we're running the company and the way we look at our businesses. So, you mentioned the regions, again, we're looking at, let's say, our deepwater business, how do we make sure that deepwater business is the most competitive deepwater business in terms of capital efficiency and ultimately ROACE, the returns on that capital. And, again, very good progress being made across the portfolio. On the South America specifically, indeed, there is a DD&A impact. I referenced that in the materials as well. As we bring on these new projects, it does increase the DD&A. I would point out that the overall cash generation from our Upstream business, excluding working capital, for the quarter was some $4.7 billion. So, indeed, important to look at the cash numbers as well as the earning numbers when getting a sense of what the business is delivering. Thank you.
Iain Reid - Macquarie Capital (Europe) Ltd.: And any comment on (01:14:34)
Jessica Uhl - Royal Dutch Shell Plc: Good. All right. I think we have got to our last question.
Jessica Uhl - Royal Dutch Shell Plc: Thank you for your questions today. Let me remind you that we will have our Management Day on the 28th of November in London and on the 29th in New York. Ben and I and other members of the executive team look forward to speaking with you all then. Thank you very much.